Operator: Hello, and welcome to the N-able Second Quarter Earnings Call. My name is Elliot, and I will be coordinating your call today. [Operator Instructions] I'd now like to hand over to Griffin Gyr, Investor Relations. The floor is yours. Please go ahead.
Griffin Gyr: Thanks, operator, and welcome, everyone, to N-able's second quarter 2023 earnings call. With me today are John Pagliuca, N-able's President and CEO; and Tim O'Brien, EVP and CFO. Following our prepared remarks, we will open the line for a question-and-answer session. This call is being simultaneously webcast on our Investor Relations website at investors.n-able.com. There, you can also find our earnings press release, which is intended to supplement our prepared remarks during today's call. Certain statements made during this call are forward-looking statements, including those concerning our financial outlook, our market opportunities, our continued expectations following the spin-off of our business in July 2021 and the impact of the global economic environment on our business. These statements are based on currently available information and assumptions, and we undertake no duty to update this information except as required by law. These statements are also subject to a number of risks and uncertainties, including those highlighted in today's earnings release and our filings with the SEC. Additional information concerning these statements and the risks and uncertainties associated with them is highlighted in today's earnings release and in our filings with the SEC. Copies are available from the SEC or on our Investor Relations website. Furthermore, we will discuss various non-GAAP financial measures on today's call. Unless otherwise specified, when we refer to financial measures, we will be referring to non-GAAP financial measures. A reconciliation of certain GAAP to non-GAAP financial measures discussed on today's call is available in our earnings press release at our Investor Relations website. And now I will turn the call over to John.
John Pagliuca: Thank you, Griffin. Welcome, everyone, and thank you for joining us today. From the moment we began discussing the N-able spin-off, we believed we had a winning formula in offering tailored to address the sustainable and rapidly growing market opportunity, a customer base looking for a trusted partner that understands their business and can help them grow and a workforce driven by purpose and a passion to serve our customers who we call partners. Our business model, we grow as our partners grow, capitalizes on this formula. And our MSP partners tell us they appreciate the mutually beneficial relationships we have built with them. And today, as we pass our second anniversary as an independent publicly traded company, our record-breaking second quarter results further prove that our strategy is on the right track. Our revenue of $106 million exceeded the $100 million quarterly milestone for the first time in our company's history, and our year-over-year constant currency revenue growth of 17% was the strongest since we became a standalone company. Along with our strong bottom line results with an adjusted EBITDA of approximately $35 million, representing an adjusted EBITDA margin of approximately 33%, we are executing our strategic initiatives and fulfilling our original promise. I'll talk later about our execution and upcoming milestones, but I wanted to spend a minute on what we are seeing in the market. First, the demand environment is healthy. Our MSP partners serve over 500,000 small and medium enterprises worldwide across a variety of sectors, including health care, law, education and finance. And the services these SMEs rely on such as security, monitoring, data protection, help desk and cloud migration are mission-critical to these modern-day enterprises. Industry analysts also project the strength of the SME IT market with Gartner forecasting earlier this year, that software spending by organizations with fewer than 1,000 employees will show the fastest growth of any other segment through 2026. Second, we are seeing that MSPs are increasingly going upmarket, managing the IT department of a larger organization or acting as co-managed providers. Co-managed IT services allow organizations to use MSPs to fill a knowledge, skill set or resource deficiencies. For example, 71% of IT professionals find patch management overly complex and time consuming, with some reports stating that internal IT resources spend most of their time just managing patch on top of everything else on their to-do list. Overseeing patch management is one of the many great examples of how MSPs add value through a co-managed offering. MSPs are playing a trusted and vital role for these organizations, which in turn is powering demand for N-able software. Our strategy to capture this market demand is simple, empower our MSP partners with enterprise-grade technology to meet the needs of their SME customer base. Our multi-tenanted platform, which integrates monitoring and management, data protection and security offerings in one dashboard is purpose-built for this. And our R&D teams have been busy, bringing new features and functionality across each of these categories. We continue to further the capability of our flagship RMM platforms, which have received best RMM honors by CRN for three years in a row. We launched Advanced Analytics, which provides powerful functionality that enhances MSP's ability to explore, visualize and report the value they deliver to their customers in order to differentiate their offerings. Apple business tools, we integrated device discovery, monitoring and mobile device management, giving MSPs the ability to centrally manage Windows, Linux and Apple devices in one dashboard. This reduces the tools fall and increases their profitability. With macro trends pointing towards growth in Apple devices, we believe this helps us differentiate our value proposition. In addition, we are in a limited preview with Microsoft Azure Cloud Resource Management, which enables partners to discover and manage Azure resources such as virtual machines and storage. As SMEs are moving IT assets out of server closets and into the cloud, we are now helping MSPs manage on-premise and cloud resources from a unified management experience. An example of our RMM solutions value proposition is a deal in the second quarter where we engaged a customer using a well-known RMM competitor. After demonstrating our powerful scripting and automation ability and the capability to support macOS, the customer signed a more than $100,000 ARR deal with us. IT technicians at MSPs are charged managing the infrastructure of many different SMEs, which is a critical and often complicated task. We believe the depth of functionality within our RMM offering enables MSPs to provide these crucial IT management services efficiently and effectively. And that is why we are proud to say we matter the most where it's the messiest for our MSPs. Demand for our security offerings remain strong as well, with growth in revenue from our security business outpacing total company revenue growth. Our managed EDR offering which debuted in the first quarter, is gaining traction, and we see a long runway for this advanced offering. Meanwhile, growth in our EDR solution, which we launched in 2019 remains robust. Also, our password management solution, Passportal, and our mail security product, Mail Assure, are steady contributors to our security business. Underlying this demand is the evolving compliance and regulatory landscape. We recently conducted a poll in which more than 2,000 MSPs said that the top reason their customers are adopting managed security services is compliance. Our teams are hearing this in their daily partner engagements as well. For example, we spent two days discussing how compliance shapes the industry at our highly rated Business of Security event attended by 65-plus elite partners, and we heard the same thing directly from some of our largest customers. Data protection is once again a bright spot in our product suite, also outpacing total company revenue growth. New customers on Cove, our powerful data protection as a service product, are up 28% year-over-year in Q2 The macro outlook for disaster recovery as a service category is strong with IDC projecting a CAGR of 18% through 2026. With favorable market tailwinds at our back, we intend to continue to build Cove into a trusted protector of one of enterprises most critical assets, data. And we do this through one word, innovation, and we have been delivering. We've recently introduced on-demand restore and standby image to Azure, giving MSPs the flexibility to spin up disaster recovery resources on demand in a much more cost-effective manner than legacy backup vendors. We released functionality that accelerates incremental backups for Microsoft OneDrive by as much as 10x. And we continue to extend our capabilities in the Microsoft ecosystem with Teams now in external preview. Cove now covers the Microsoft 365 suite, including Teams, Exchange OneDrive and SharePoint Online. Our go-to-market team, our focus on ensuring all this innovation reaches the eyes and ears of our partners. We are now live for the disaster recovery of the service marketing campaign, including an online total cost of ownership calculator on our website to help partners understand the value proposition of Cove. This newly released TCO tool shows savings of up to 50% for customers that use Cove versus other options, which validates Cove's value proposition. Cove is a powerful product in a durable market that delivers superior outcomes for our customers, and we are excited about the potential for future Cove growth. And while our overriding market focus is on MSP partners, our solutions also appeal to internal IT departments and sales to these customers are an opportunistic area where we believe Cove is taking market share. Our mission is to provide tools for MSPs that enable them to deliver IT services efficiently and effectively. And our teams are delivering. Along these lines, I want to speak about our approach to harnessing new technologies within our products, particularly the opportunity we are seeing with generative AI. We are a technology company. Innovation is part of our DNA. We strive to deliver enterprise-grade technology to the SME market. And in this pursuit, AI technology is employed in our offerings today. For example, our monitoring and management solution leverages AI to automate tasks and our advanced EDR and mail solutions use AI to identify and block threats. This technology has a tangible benefit for our customers, automated scripting, troubleshooting and patching save technician time, and AI threat detection stops more bad actors. Looking forward, we see generative AI as another rung in the ladder of technological progress, and we are working on integrating further innovations and our product strategy deliver even greater customer value. Use cases, including productizing the latest developments in AI and machine learning to increase technician efficiency in our RMM offering, elevate the capability of our security solutions and enhance the effectiveness of our data protection offerings, to name but a few. As we innovate, we believe we have a competitive advantage and the unique insights gained from our approximately 25,000 MSPs that will allow us to train more effective algorithmic models and create monetizable solutions to meet our customers' needs. As always, we are mindful of using technology in an ethical and socially responsible manner while mitigating risk. And finally, all of this is a result of the efforts of my fellow N-ablites across the globe, driven by our productive and positive work culture which has earned external recognition. We have outlined those awards in our press releases throughout the first half of the year, but I want to call out that we received four Stevies at the 2023 American Business Awards for our product, internal teams, community efforts and our high-achieving people. We also received rewards from Comparably for Best Company Global Culture and Best Company Career Growth. A couple of months ago, I was honored to sign the CEO Action for Diversity & Inclusion pledge. This is the largest CEO-driven business commitment to advancing diversity and inclusion in the workplace with over 2,400 signatories. At N-able, we have always prioritized diversity, equality and belonging, and this was another great step in our journey to reinforce our commitment to this focus area. With that, I would like to turn the call over to Tim to discuss our financial results and outlook. And then I'll circle back for some closing remarks. Tim?
Tim O'Brien: Thank you, John, and thank you all for joining us today. As John mentioned, this was a momentous quarter for N-able. We just celebrated our two year anniversary as a public company and achieved over $100 million in revenue in the quarter, both exciting milestones. It is the culmination of investments we have made over the years to bring value to our MSP customers, including product innovation by our R&D organization, the brand building efforts and execution of our go-to-market teams, the development of our customer success team and more broadly, intentionally creating a culture of innovation for our more than 1,500 N-ablites across the globe. It's also a testament to the demand for IT services across the global SME market. For our second quarter results, total revenue was $106.1 million, representing approximately 16% year-over-year growth or approximately 17% on a constant currency basis. Subscription revenue was $103.4 million, representing approximately 16% year-over-year growth or approximately 17% on a constant currency basis. Other revenue, which consists primarily of revenue from the sale of maintenance services associated with the historical sales of perpetual licenses and revenue from professional services was $2.7 million, up 21% year-over-year. We ended the quarter with 2,162 partners that contribute $50,000 or more of ARR, which is up approximately 19% year-over-year. Partners with over $50,000 of ARR now represent approximately 55% of our total ARR, up from approximately 50% a year ago. Looking at net retention for the second quarter, which is calculated on a trailing 12-month basis, dollar-based net revenue retention was approximately 105% or 109% on a constant currency basis. Turning to profit and margins. Note that unless otherwise stated, all references to profit measures and expenses are calculated on a non-GAAP basis and exclude the items outlined in the GAAP to non-GAAP reconciliations provided in today's press release. Second quarter gross margin was 84.8% compared to 85.5% in the same period in 2022. Second quarter adjusted EBITDA was $34.9 million, up approximately 26% year-over-year, representing approximately 33% adjusted EBITDA margin. Unlevered free cash flow was $23.6 million in the second quarter and CapEx was $6 million or 5.7% of revenue. Non-GAAP earnings per share was $0.09 in the quarter based on 186 million weighted average diluted shares. We ended the quarter with approximately $109 million of cash and an outstanding loan principal balance of approximately $344 million, representing net leverage of approximately 1.8x. Approximately 45% of our revenue was outside of North America in the quarter. As I stated on our last earnings call, we pulled forward the timing of our annual pricing and packaging changes this year to align closer to our cadence pre-COVID. While we usually do not call out pricing and packaging changes, we wanted to make sure we highlighted the impact on Q2 year-over-year comparisons. To reiterate, for the full year, we expect the magnitude of these changes relative to previous years to contribute about 1% to 1.5% on year-over-year growth. Given the timing change, the impact was more pronounced in the second quarter, contributing about 4% to year-over-year growth. We evaluate pricing and packaging decisions carefully, taking a range of factors into account such as product enhancements, the competitive environment and inflation. As we look across the market and our offerings, we believe our value proposition continues to be attractive. Turning to our financial outlook. For the third quarter of 2023, we expect total revenue in the range of $106.5 million to $107 million representing approximately 14% year-over-year growth or approximately 12% to 13% on a constant currency basis. We expect third quarter adjusted EBITDA in the range of $34.5 million to $35 million, up 20% year-over-year at the midpoint and representing an adjusted EBITDA margin of approximately 32% to 33%. For the full year 2023, we are raising our revenue outlook and now expect total revenue of $419.5 million to $421 million, representing approximately 13% year-over-year growth on both a reported and constant currency basis. We are also raising our adjusted EBITDA outlook and now expect full year adjusted EBITDA of $135.5 million to $137 million, up approximately 19% year-over-year at the midpoint and representing an approximately 32% to 33% adjusted EBITDA margin. Regarding foreign exchange rates, we are assuming FX rates for the remainder of the year of 1.07 for the euro and 1.25 for the pound. We reiterate that we expect CapEx will be approximately 6% of total revenue for 2023. We also expect adjusted EBITDA conversion to unlevered free cash flow to be approximately 65% for the full year. We expect total weighted average diluted shares outstanding of approximately 187 million for both the third quarter and the full year. Finally, we expect our non-GAAP tax rate to be approximately 28% in the third quarter and for the full year. As we enter the back half of the year, we will continue to monitor the macro environment while we focus on executing initiatives that advance our strategy to efficiently deliver enterprise-grade technology to MSPs, all while ensuring our costs are aligned with growth. We are also focused on driving returns from the new offerings we have brought to market as these are key to our strategy of accelerating our top line growth in the medium to long term. Our raised full year revenue and adjusted EBITDA guide reflect our assessment of these operational and strategic dynamics as we pursue a balanced path toward our sustained Rule of 50 operating goal. Now I'll turn it over to John for closing remarks.
John Pagliuca: Thanks. A little more than two years ago, when N-able became an independent publicly traded company, the thesis was straightforward. Independent operations would unlock a higher level of focus and allow us to reach our true potential. We have seen the benefits of this enhanced focus across our business. We have filled out leadership positions across our organization and have grown the company from 1,300 employees at the time of the spin to over 1,500 employees today. Our R&D team have delivered a depth of features within our core product categories that empower our MSPs to scale and win. Our go-to-market teams have built the N-able brand and connected with MSPs at events across the globe, and our customer success organization has established meaningful relationships with our customers. The spinoff two years ago marked a new chapter in the N-able journey, and we continue to keep writing. IT spending remains a priority for organizations and we see healthy market demand for our integrated suite of monitoring and management, data protection and security solutions. While we are mindful of the macro environment, we believe strongly in the durability of the long-term secular growth of SME IT spending and the trend of outsourcing IT. We are executing important strategic initiatives and are invigorated by the opportunity ahead to innovate on behalf of our MSP customers and empower them with the tools they need to provide mission-critical services. And with that, operator, we are ready for questions.
Operator: [Operator Instructions] Our first question comes from Mike Cikos with Needham. Your line is open.
MikeCikos: Hi, guys. Thanks for taking the questions here. And good quarter all around. I just wanted to circle back to the guidance that we have here. And I appreciate, Tim, you calling out those annual price changes. Can you help us think through those price changes? And really where I'm going with this is if I look at the Q3 revenue guide, shouldn't we expect the pricing changes to continue to benefit Q3, at least on a year-over-year basis, just given the subscription model? And I'm just trying to tease out is there anything more to how this guidance is constructed? And why wouldn't we be seeing more of a benefit from those pricing changes in Q3?
TimO'Brien: Yes, Mike, happy to take it. I think we spelled out the impact pretty clearly on Q2 and the year. And probably more acutely just how we realize some of the price increases due to the nature of some of the usage components of the business as well as the month-to-month components of the business is that the majority of it is felt at the time of the price increase, not over a 12-month period. So I think that's what I would say, probably skewing your view of impact on Q3 and the rest of the year versus more acutely in Q2. And just to reiterate the timing, historically, we've done pricing and packaging changes in the June timeframe. Before COVID it was earlier in the year, and we pulled that in a couple of months this year into April just from a timing perspective.
MikeCikos: Got it. Got it. And then -- so I appreciate the color. I guess, the follow-up here, again, I'd like to see the beat in Q2 and then the obvious raise when I look at the calendar '23 guide. Your EBITDA, if I look at just the pure dollars, the raise on EBITDA is ahead of the dollar rates we're seeing on revenues. And I just wanted to get a better sense. Is the company -- is it improved cost discipline? Can you help us frame out, I guess, where these -- I don't know if you want to term them incremental savings or postponing on certain projects. How do we think about that EBITDA guide for calendar '23, just because, again, the dollar volume raise on EBITDA guide is north of the raise that we're seeing on revenue. I'm trying to determine where that's coming from in the model.
TimO'Brien: Yes. Thanks, Mike. Happy to touch there - go ahead, John.
John Pagliuca: Yes. Mike, I was going to say -- Tim, I can start, and then you can cover it in the back. Strategically -- or I'd say philosophically, we're continuing to lean in. So to your question on are we stopping or slowing back, I'd say no. In particular, we continue to focus on the R&D advancements. Hopefully, during the prepared remarks, you could hear or feel the momentum we're making on the product side. We're going to continue to lean in there. But that being said, we've now been public for two years, and we had to do a lot at the beginning in sales and marketing to build that brand and we were able to establish that brand. And now we're looking a little bit more on sales and marketing and saying, hey, what is efficient and what is not efficient? In every company, you probably have your lowest decile of spend in sales and marketing. So we're taking a little bit of a harder look of areas in sales and marketing that are not generating the best return, but we're continuing to lean in on revenue-generating headcount and in R&D.
MikeCikos: Awesome, thanks. Thanks for the color, John. And thank you again for the comments, Tim, as well. I'll turn it over to my colleagues. Appreciate it.
John Pagliuca: Thanks Mike.
Operator: Our next question comes from Matt Hedberg with RBC. Your line is open.
MattHedberg: Great, thanks, guys for my questions as well, congrats for me as well. Congrats from me as well. John, I want to start with you. You said something at the start of your prepared remarks that I found really interesting. The MSPs are starting to move up larger into the enterprise. I think this has been a trend that's been kind of ongoing, but you brought it up here. And I'm just sort of curious, what do you think is ultimately driving that? Because that could certainly be a really big long-term bullish trend for sort of the actual achievable TAM that you guys are going after.
John Pagliuca: Sure. Yes. Thanks, and it's a great question. Look, Tim and I have been in the space for 10 years. And in those 10 years, we're seeing TAM increase by an X and Y dimension, right? And the X dimension, if you will, Matt, is -- 10 years ago, MSPs were focusing on help desk. They were maybe dipping their toe in security. They really weren't necessarily helping on BI and some of this other stuff. Now we're seeing MSPs fully helping out with the help desk bits, but also a bunch of other bits like security, compliance, risk management, backup and disaster recovery. So they're doing a lot more for SMEs than they did 10 years ago. They're really showing up as that trusted partner. That's adding to our TAM because it's adding service areas, so to speak. But the other dimension that you're calling out is they are going upstream. When we started -- when I was in this business 10 years ago, on average, MSPs were servicing SMEs that were about 50 employees on down. That's not true anymore. MSPs are helping out Fortune 1000 companies. And there's two reasons for that. Number one, we're seeing labor shortages in IT overall. So if you're a CIO or a VP of IT at a Fortune 1000 company and you're looking at all the work that you need to get done, you can now look at an MSP because the industry has grown up, they become more mature. The tools are enterprise-grade and leverage an MSP at a much more cost-effective way so that your team can now go do something else, maybe a little bit more strategic. That's why we called out that patch management example in the prepared remarks. So we're seeing, because of labor shortages, IT professionals are leveraging the MSP. That's number one. The second reason is what I was talking about before in that surface area, MSPs can now help out on the security front, the disaster recovery front. The industry has matured. The tools have gotten bigger. I'd like to think we have a good amount of help in there, allowing these MSPs scale. And MSPs are now -- we have MSPs that are $1 billion in revenue. And so they're able now, at their maturity level, to service these bigger companies. So for us, we're getting the benefit of this X and Y expansion on our TAM, so to speak. And the MSPs are as well as they continue to go upstream. It's a bigger client, it's a better recurring revenue stream for them and they're able to charge for services that a Fortune 1000 company or a mid-market company can afford.
MattHedberg: That's really good to hear. I mean it certainly feels like there's a long-term benefit for that. And then, Tim, for you, I had a question on the price increase as well. Obviously, a substantial Q2 beat. I'm just sort of curious, when you built your Q2 guidance, how much did you sort of contemplate for a potential benefit vis-à-vis the 4% benefit that you called out in your prepared remarks? Was it more than what you kind of thought? Or just sort of kind of curious on kind of the components of the beat.
TimO'Brien: Yes. I would say we took a conservative approach to our Q2 guidance. And I would say, generally, came in a little bit higher than we had probably baked into the Q2 guide. But I would say it was more lending to just a general conservative approach to guidance for the quarter.
MattHedberg: Got it. Thanks. Well done, guys.
Operator: [Operator Instructions] We now turn to Jason Ader with William Blair. Your line is open.
Jason Ader: Yes. Thank you. Good morning, guys. Just wanted to get a sense for how macro might be changing at all or maybe not. Maybe it's the same as it's been. But would love just some color commentary on what type of impact you're still seeing from macro. Is it new projects? Is it new customers? Just sort of a cautiousness, I guess, is pervading the economy right now. But is this something that is noticeable? Do you feel like it's trending one way or the other? Just any comments on macro would be helpful.
John Pagliuca: Jason, great question. Look, we take a look at demand and look at the macro trends and evaluate from a short term and long term on a couple of different fronts, right, in a couple of different dimensions. Number one, on our sales and marketing teams and what is their success rate as it relates to, a, new customers and, b, new SKUs. And so on that front, I would say things were performing better than last year in, I'd say, in all geographies. Europe has been a little bit softer, but by all accounts, whether it be Asia Pac, EMEA or North America, we're still seeing demand and our sales performance better than last year. So that's good. So the demand there is strong, in particular for our data protection and our security offerings. The second way we look at demand and what's going on with the health of the MSP market is -- are MSPs adding small, medium enterprises? And what we've been telling you folks in the last couple of quarters is that's been, I'd say, moderate or moderating. Part of that is because MSPs can reach their -- both their revenue goal and their profit goal by expanding services and not necessarily adding a bunch of customers because they too are having a little bit of a labor shortage. So we're monitoring that. I'd say it's been consistent to what we've been seeing in other quarters. We'd love to see it a little bit stronger and having MSPs continue to add small, medium enterprises, but I'd say it's been consistent.
Jason Ader: Got you. Okay. So if we fast forward a few quarters, a year, whatever, and MSPs are adding more new customers, you would view that as a tailwind.
John Pagliuca: That's right. That's correct.
Jason Ader: Yes. Okay. All right. And then I guess the other question I had just on this pricing change. Tim, can you just give us a little more detail on the comments that you talked about in terms of having more of an immediate impact. I wasn't quite clear on why that would be.
TimO'Brien: Yes. Just for customers from a contractual standpoint that are either usage-based or in a month-to-month nature is a good portion of just our business model. I think we've touched on that in the past. But more the realization of that in real time versus over a 12-month period for a good portion of the business and that timing is just what drove that more acute impact to Q2. But generally, on the year-over-year, it's consistent annually. So outside of that timing -- we gave color last call and this call on the impact there of about 1 point to 1.5 points of impact on the year. I think if you just look at it annually, it kind of stops without the timing and the immediate impact nature.
Jason Ader: And was that fairly typical? I mean do you normally have a 1- to 1.5-point tailwind from price changes?
TimO'Brien: I would say no. That's the impact on '23 compared to what we've done historically. Pricing and packaging changes are always part of our equation. Generally, the impact is -- last we leaned in a little bit more due to some of the product enhancements we've made over the past 12 months as well as some of the inflationary environment that we've seen out there for 2023.
Jason Ader: Got you. Got you. Okay. And then last question just on customer priorities for you, John. Do you feel like those are changing at all relative to, I don't know, six to 12 months ago? Obviously, security top of mind for everybody. Disaster recovery -- I don't know, like work-from-home, is that becoming sort of less front and center just because everyone is already doing it, and there's other priorities that are bubbling up? Just any comments there would be helpful.
John Pagliuca: Sure. I'd say it's sharpening. The work-from-home noise or focus in the MSP, I'd say, is definitely lowered, especially coming out of the COVID quarters. That's definitely not, I would say, the -- in their top 5 right now. Really, what we're seeing a lot is around compliance and how MSPs can help their customers be compliant with whatever governing agency or regulatory Board that might be, specific to their industry or their government and every market is a little bit different. So we're seeing MSPs looking to us for our help to make sure that they are compliant, number one. But then, number two, to make sure that their customers can be compliant. And that lands squarely with the different security offerings, the more of the advanced security offerings and the data protection pieces, right? So I'd say security a couple of years ago -- and by the way, for us, this is a tailwind. Security was more around what the SME or the MSPs risk tolerance was. Compliance goes from more like a land of gray to more of a binary one or zero type of game. You either are compliant or you're not. And for those small, medium enterprises that must be compliant in order for them to conduct business, they need to up-level their security hygiene and the layers of security around that, which is driving the MSPs to focus on helping them and be that trusted partner there. So that's top of mind. M&A in the MSP industry has been steady. I've not seen it really uptick. It's been consistent, and that's also a good positive sign for us. As the MSPs continue to consolidate, they get larger, they're healthier and they're able to go upmarket as well.
Jason Ader: Thanks very much. Good luck.
Operator: Thank you. Our next question comes from Keith Bachman with Bank of Montreal. Your line is open.
Keith Bachman: Hi, thank you. I had just a couple. On a broader basis, as you think about ongoing portfolio diversification of your offering, how are you thinking about the build versus partner scenario? Or how investors should be thinking about the level of IP that you'll add through organic development versus the partner track versus even M&A. If you could just and how do you see that diversification unfolding over the next couple of years? In other words, you have a very robust offering, but how does that -- how do you think that expands over the next few years?
John Pagliuca: Sure, Keith. And great question. And just for the audience, just as a quick reminder, what Keith is touching on is core to our -- some of our product strategy. So here at N-able, we build a significant amount of the IP ourselves. But in a couple of different areas, we choose to partner with enterprise-grade companies, integrate that technology into our platform because we believe it's a better-together experience for the MSP to do their jobs effectively and efficiently, and we go from there. And of course, the third leg is M&A. And so look, Keith, I think you know from our earlier conversations, we're very thoughtful as to what path we want -- we'd like to go through. A lot of the times, it has to do with the competitive landscape and the type of solution, right? So we've chosen, with EDR as an example, to partner with SentinelOne. Why? Well, that's to be the best and to make sure that we have the best offering for our MSPs, we would need to have a level of R&D in research and development that doesn't necessarily fit our profile, and we believe through the partnership with SentinelOne we can honor our mission and give our MSPs the best security. And what we do there is we integrate it into our remote monitoring platform and now MSPs can monitor, manage and secure in one dashboard in a really efficient way with a policy. So wherever we can get that, what I call that quad win, a win for the small, medium enterprise; a win for the MSP; a win for that partner, in this case, SentinelOne; and a win for N-able, we do that. And a lot of times, we look at what would be the long-term level of R&D investment that we would need to make sure that we're competitive, that we're leading in the space and not lagging in the space. Looking ahead, security, depending on where we are in security, is usually a good vector where we'll either look to use an enterprise partner and OEM or potentially look to acquire if it fits the profile. Where we typically build is where it's in our core DNA around monitoring and management. And we talked about Azure Resource Management. We talked about our Apple capabilities. We'll be talking more about our cloud management capabilities in the future. That's core to our DNA, and we'll continue to deliver the IP there. So it continues to be a three-pronged approach, as you outlined, and I'd say that's the right strategy because we're always putting the goal of the MSP first and each one of them have an opportunity. And it's all about bringing to market something that the MSPs can leverage in an integrated platform using our RMM as that cornerstone.
Keith Bachman: Okay. Great. And then just one clarification for me. I wanted to go back to the pricing. What percent of your contracts are month-to-month versus something longer? Because I'm just a little surprised that there wouldn't be a carryover benefit, at least for the next couple of quarters on pricing.
TimO'Brien: Keith, I'd say about two-third are a combination of usage or month-to-month across the business. So it's a good portion and that 1 to 1.5 points of impact is driven through the other one-third kind of coming to fruition over the course of the next 12 months.
Keith Bachman: Okay. Great. Many thanks.
Operator: This concludes our Q&A. I will now hand back to John Pagliuca, CEO, for any closing remarks.
John Pagliuca: Thank you, operator. Yes, sure. Just on behalf of all 1,500 N-ablites across the world, thank you for your ongoing interest in N-able and looking forward to talking to you in about a quarter's time.
Operator: Ladies and gentlemen, this call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines.